Operator: Ladies and gentlemen, thank you for standing by. Welcome to the American Express Q2 2022 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, today's call is being recorded. I would now like to turn the conference over to our host, Head of Investor Relations, Ms. Kerri Bernstein. Thank you. Please go ahead.
Kerri Bernstein: Thank you, Donna, and thank you all for joining today's call. As a reminder, before we begin, today's discussion contains certain forward-looking statements about the company's future business and financial performance. These are based on management's current expectations, and are subject to risks and uncertainties. Factors that could cause actual results to differ materially from these statements are included in today's presentation slides and in our reports on file with the SEC. The discussion today also contains non-GAAP financial measures. The comparable GAAP financial measures are included in this quarter's earnings materials as well as the earnings materials for the prior periods we discussed. All of these are posted on our website at ir.americanexpress.com. We'll begin today with Steve Squeri, Chairman and CEO, who will start with some remarks about the company's progress and results. And then Jeff Campbell, Chief Financial Officer, will provide a more detailed review of our financial performance. After that, we'll move to a Q&A session on the results with both Steve and Jeff. With that, let me turn it over to Steve.
Stephen Squeri: Thanks, Kerri, and welcome to the IR team and your first earnings call. And good morning, everyone. Thanks for joining us for our second quarter call. We had an outstanding quarter. Revenues were up 31%, reaching a record high, and earnings per share were $2.57. Card Member spending was at record levels. Billed business was up 30% from a year earlier on an FX-adjusted basis, led by a vigorous rebound in travel and entertainment spending and continued strong growth in goods and services. We added 3.2 million new proprietary cards in the quarter, driven by continued strong demand for our fee-based premium products. Acquisitions of our U.S. Consumer Platinum, Gold and Delta co-brand cards were all at record highs. Customer retention and credit quality both remain at exceptionally strong levels. While our strong growth may be somewhat surprising given the uncertainties in the external environment, there are a number of reasons for our continued momentum. First, the decisions we made through the pandemic continue to pay dividends. At the outset, we made it a priority to be there for our customers, focusing on delivering great service, providing financial relief programs, expanding our Shop Small initiatives, and injecting new value into our premium consumer and business products with benefits that were relevant for the times. We then ramped up investments early in the recovery to rebuild our momentum and grow our customer base, refreshing our premium products through a series of new benefits that enhanced our generational relevance and we accelerated our acquisition engine. These decisions lay the foundation for the strength in customer retention, engagement and acquisitions that you've seen over the past year and our results today. Other key factors driving our performance include the many competitive advantages that we have that differentiate us, as well as several structural shifts, some near-term recovery tailwinds, which you remember we discussed at our Investor Day. A critical competitive advantage is our global premium customer base, which is, at scale, unrivaled in the industry, with millions of high-spending super prime, loyal consumer and business customers across generations and geographies. Importantly, millennials and Gen Z consumers are a large part of our existing customer base and our fastest-growing age cohort, making up 60% of all new consumer Card Members we're acquiring and around 75% of new U.S. consumer Platinum and Gold Card Members. Our new customers have excellent credit profiles, are highly engaged in the premium benefits that come with American Express membership, and are spending more from the start of their relationship with us than previous newcomers, giving us a long runway for growth. In fact, Spending by this age group grew 48% in the second quarter, significantly outpacing other generations. Our momentum is also being aided by several structural shifts, which we believe give us significant opportunities to sustain our growth across all lines of business over the longer term. These include the growth in the premium consumer card space around the world, the ongoing increase in online commerce and digital engagement among consumers, the strong pace of small business creation and the acceleration in the digitization -- digitizing of commercial payments. Finally, in the near-term, we're benefiting from recovery tailwinds in our businesses outside the U.S., in the large and global corporate space and in travel and entertainment. The travel rebound in particular has been faster and stronger than anyone expected. Total T&E spending exceeded pre-pandemic levels in April for the first time. It was at 108% of 2019 levels for the quarter, led by strong growth in Global Consumer and SME spending, and a significant uptick in large and global corporate travel. And we don't see demand in the T&E categories declining significantly anytime soon. Based on the strength of future bookings coming through our consumer travel agency and the trends our partners in the travel industry like Delta are experiencing, particularly in the premium space. Of course, we are wary of the uncertainties in the current economic environment and the impact it's having on our business. The historically low unemployment rate is a positive factor as it's helping to drive our strong credit metrics and we continue to see no significant signs of stress in our consumer base. Inflation is a bit of a mixed bag. It's a modest contributor to our strong growth in volumes. But inflation when combined with low unemployment also puts pressure on operating costs. For example, like everyone else, we're seeing intense competition for the best talent. But because our colleagues are a key driver of our success, we continue to invest in talent, which is having an impact on our operating expenses. Looking forward, as I've emphasized many times before, we run the company for the long-term, and our investment strategy is grounded in this principle. As we sit here today, we have an abundance of great opportunities. And we'll continue to make our decisions with a longer-term view like we did during the pandemic. That means we will continue to invest at high levels in those areas that will drive sustainable growth, including our brand, value propositions, customers, colleagues, technology and coverage. We remain confident that the successful execution of this strategy will position us well as we seek to achieve our long-term growth plan aspirations of revenue growth in excess of 10% and mid-teens EPS growth in 2024 and beyond. Thank you. And I'll now turn it over to Jeff.
Jeff Campbell: Well, thank you, Steve, and good morning, everyone. Good to be here to talk about our second quarter results, which reflect another strong quarter and great progress against our multiyear growth plan. Starting with our summary financials on Slide 2. Most importantly, our second quarter revenues were $13.4 billion, up 33% on an FX-adjusted basis, strengthening sequentially from last quarter's already strong 31% year-over-year growth rate. Our reported second quarter net income was $2 billion, with earnings per share of $2.57. Now as I said last quarter, given that year-over-year comparisons of net income have been challenging due to the volatility that the pandemic caused in credit reserve adjustments, we are including pretax pre-provision income as a supplemental disclosure again this quarter, which we believe gives you additional insight into the trends of our underlying earnings. On this basis, second quarter pretax pre-provision income was $3 billion, up 27% versus the same time period last year. So now let's get into a more detailed look at our results, beginning with volumes. Turning on Slide 3. You can see the continued momentum in spending from our strong customer base that Steve noted earlier. Billed business and total network volumes were up around 30% year-over-year on an FX-adjusted basis in the second quarter. We feel really good about both our year-over-year growth as well as our sequential growth. The second quarter saw us achieving our highest ever level of quarterly billed business. And if you were to compare to 2019, the first quarter grew 19%, while the second quarter growth rate accelerated even further to 28%. Importantly, our spending volumes strengthened as we went through the quarter, with the month of June also reaching a new monthly record high. And as we sit here today, this momentum has continued into early July. Now I would point out that when you think about year-over-year growth rates, volumes in 2021 were, of course, in a steep phase of recovery as the year progressed. So I do expect that our year-over-year growth rates will moderate as we progress through the rest of 2022. Our spending metrics are being driven by both sustained growth in goods and services spending and by an acceleration in T&E recovery in the second quarter. Starting first with goods and services spending on Slide 4. We saw a year-over-year growth of 18% in the second quarter. We are now multiple quarters into seeing the effects of the structural shift in online commerce spending patterns, which is accelerated by the pandemic, with our growth rates remaining steady. Specifically, online and card-not-present spending grew 15% in the second quarter. In contrast, total T&E spending, as you see on Slide 5, showed an acceleration in its recovery this quarter even more than we and many others would have expected, reaching 108% of 2019 levels. The high demand for travel will be a steep recovery across all customer types. This strength in both goods and services and T&E spending is also evident as we break spending trends down across our consumer and commercial businesses, with a few other key points that I'd suggest you take away. First, beginning on Slide 6, millennial and Gen Z customers continue to drive our highest global consumer billed business growth, with their spending up 48% year-over-year. I'd also call out that this quarter, all other age cohorts have now reached pre-pandemic levels of T&E spending, including baby boomers, who had been slower to recover. In our commercial business, on Slide 7, spending from our small- and medium-sized enterprise clients continues to drive our overall growth, with spending up 25% year-over-year. While a smaller part of our business, it is worth noting the significant acceleration in growth of 58% of the large and global corporate customers, significantly above last quarter's growth rate. This is a sign of a more meaningful business travel recovery. So overall, we are pleased that our strength in spending volumes has exceeded our original expectations for the year. And again this quarter, the majority of our high level of growth was driven by the number of transactions flowing through our network, with some modest additional impact from inflation. This positions us well for our long-term growth aspirations. Moving on now to receivable and loan balances on Slide 8. We saw a good sequential growth in our loan balances, which are now well above pre-pandemic levels this quarter. The interest-bearing portion of our loan balances also continues to consistently increase quarter-over-quarter, but remains a bit below 2019 levels, as paydown rates have remained elevated. As you then turn to credit and provision , on Slides 9 through 11, the high credit quality of our customer base continues to show through in our extremely strong credit performance. Card Member loans and receivables write-off and delinquency rates remain well below pre-pandemic levels. And though they did continue to tick up slightly overall this quarter, as we expected, they are trending a bit better than our expectations when we started the year. Turning then to the accounting for this credit performance on Slide 10. As you know, there are a couple of key drivers of provision expense. First, actionable credit performance, which, as we just discussed, is extremely strong; and second, changes in credit reserves under the CECL methodology. We built a small amount of reserves this quarter as our loan balances grew and the macroeconomic outlook that we flowed through our CECL models got slightly worse relative to the outlook back in Q1, both partially offset by improved portfolio quality. This reserve build, combined with our low net write-offs, drove $410 million of provision expense for the second quarter. As you see on Slide 11, we ended the second quarter with $3.2 billion of reserves, representing 3.1% of our loan balances and 0.2% of our Card Member receivable balances, respectively. This remains well below the reserve levels we had pre-pandemic. Going forward, we continue to expect delinquency and loss rates to move up slowly over time, but to remain well below pre-pandemic levels this year. I do expect to end the year with a higher level of reserves on our balance sheet than where we ended this quarter, given our expected loan growth. But the overall range and timing of reserve adjustments will be heavily influenced by how the macroeconomic outlook evolves between now and the end of the year. Moving next to revenue on Slide 12. Total revenues were up 31% year-over-year in the second quarter or 33% on an FX adjusted basis, as we continue to see a stronger U.S. dollar relative to most of the major currencies in which we operate. Overall, these results were above our original expectations. Before I get into more details about our largest revenue drivers in the next few slides, I would note that service fees and other revenue was up sharply at 79% growth year-over-year, largely driven by the uptick in travel-related revenues that accelerated this quarter, with cross-border spend in particular surpassing pre-pandemic levels. Our largest revenue line, discount revenue, grew 32% year-over-year in Q2 on an FX-adjusted basis, as you can see on Slide 13, driven by both our sustained growth in goods and services spending and the accelerated T&E recovery that you saw in our spending trends. Net card fee revenues were up 19% year-over-year in the second quarter on an FX-adjusted basis, with growth continuing to accelerate, as you can see on Slide 14, largely driven by the continued attractiveness to both prospects and existing customers of our fee-paying products as a result of the investments we've made in our premium value propositions. This quarter, we acquired 3.2 million new cards, with acquisitions of U.S. Consumer Platinum Card numbers again reaching a record high and increasing 20%, above last quarter's record levels, demonstrating the great demand we're seeing, especially for our premium fee-based products. Moving on to net interest income. On Slide 15, you can see that it was up 31% year-over-year on an FX-adjusted basis, accelerating above last quarter's growth rate due to the continued recovery of our revolving loan balances. Looking forward, while I would expect our loan balances to continue to recover at higher growth rates, the rising rate environment will likely cause our net interest income growth rate to slow given our sizable non-interest-bearing charge balances. To sum up on revenues on Slide 16. We're seeing continued strong results and sustained momentum across the board. So looking forward, we now expect to see revenue growth of 23% to 25% for the full year of 2022. So the revenue momentum we just discussed has been driven by the investments we've made in our brand, value propositions, customers, colleagues, technology and coverage. And those investments show up across the expense lines you see on Slide 17. Starting with variable customer engagement expenses, these costs came in as expected, at 42% of total revenues for the quarter, and are tracking with our expectations for variable customer engagement costs to run at around 42% of total revenues on a full year basis. On the marketing line, we invested $1.5 billion in the second quarter. We feel really good about the strong demand for new card acquisitions , as we showed on Slide 14. More importantly, we feel good about the spend, credit and revenue profiles of the customers we are bringing in to American Express membership, which continue to look strong relative to what we saw pre-pandemic. I would now expect to spend a little over $5 billion on marketing in 2022. Moving to the bottom of Slide 17 brings us to operating expenses, which were $3.3 billion in the second quarter. There's often some quarterly volatility in this number due to the varied timing of certain accruals and entries. This quarter, for example, we see the impact of the prior year including a sizable benefit from net mark-to-market gains in our Amex Ventures strategic investment portfolio. As I said last quarter, and as Steve discussed earlier, inflation, while driving some modest positive impact on volumes, it's also putting pressure on our operating expenses, particularly in our compensation costs. Taking everything into account, we now expect our full year operating expenses to be around $13 billion, as we invest in our talented colleague base, technology and other key underpinnings of our growth given our tremendously high levels of revenue growth. Turning next to capital on Slide 18. We returned $1 billion of capital to our shareholders in the second quarter, including common stock repurchases of $611 million and $394 million in common stock dividends on the back of strong earnings generation. Our CET1 ratio was 10.3% at the end of the second quarter, within our target range of 10% to 11%. We plan to continue to return to shareholders the excess capital we generate while supporting our balance sheet growth. Given the concerns about the macro economy and the market, it is worth noting that in the Fed's CCAR stress test results released last month, American Express was again one of the few firms that remained cumulatively profitable under the Fed's macroeconomic stress scenario and we had the highest profit margin as a percentage of assets of any participating bank. That brings me to our growth plan and 2022 guidance on Slide 19. Our performance year-to-date and our full year guidance reinforce several points that Steve and I have now both discussed. First and most importantly, we clearly have momentum across all of the areas critical for us to drive sustained high levels of revenue growth, including customer acquisition, engagement and retention, evidenced by our strong Q2 results. Inflation is additionally providing some modest benefit to our revenues. The combination of all of these things led us to increase our expectations for full year revenue growth to 23% to 25%, up from our original range of 18% to 20%. For now, though, our EPS guidance remains unchanged from between $9.25 and $9.65. Let me walk you through our thinking here. As I talked about earlier, we feel really good about the strong results generated by our marketing investments this year. And that's why we now expect to spend a little over $5 billion for the full year, modestly above our original expectations. Both Steve and I also talked about the fact that there are some pressures on our operating expenses, particularly around compensation and partially fueled by inflation. And therefore, we now expect our operating expenses to be around $13 billion this year. Lastly and most importantly, as we think about our EPS this year, as I talked about in the credit section, while our credit performance and metrics remain extremely healthy, we can't predict how the macroeconomic outlook will evolve. That makes it difficult sitting here today to predict a precise range of outcomes for any potential CECL reserve adjustments for the balance of the year. That said, should the macroeconomic outlook not change meaningfully between now and the end of the year, and therefore, not have a large impact on current reserves in the balance of the year, we would expect to be at or even a bit above the high end of our EPS guidance range. In any environment, we remain committed to executing against our growth plan and running the company with a focus on achieving our aspiration of delivering revenue growth in excess of 10% and mid-teens EPS growth on a sustainable basis in 2024 and beyond. With that, I'll turn the call back over to Kerri to open up the call for your questions.
Kerri Bernstein: Thanks, Jeff. Before we open up the lines for Q&A, I will ask those in the queue to please limit yourself to just one question. Thank you for your cooperation. And with that, the operator will now open up the line for questions. Operator?
Operator: [Operator Instructions] Our first question comes from Ryan Nash of Goldman Sachs.
Ryan Nash : Maybe just to start on revenue growth, Steve. So it's obviously coming in much better than expected, and you're choosing to invest more to propel future growth. So I was just hoping maybe you can just talk a little bit about the additional investments that you're making across the company, whether it's in OpEx or in Card Member engagement. How much of this is offensive versus -- to drive revenue growth versus defensive? And then given the acceleration of investments that we're seeing through '22, could this position us for better revenue growth in the intermediate time frame?
Stephen Squeri : So I think everything that we're doing here is offensive. I mean you could argue that raising compensation is defensive. But I think you're going to -- you've seen compensation being raised across. So if I break out the categories, you're going to see OpEx up. And you see an OpEx up for 2 reasons. #1, we are investing a little bit more in -- from an operating perspective. But that investment -- the main investment from an operating perspective is you can't grow your billings 30%, and with the majority of those billings being grown by 30% by more transactions without having more people to be able to serve your customers, to be able to engage with them from a travel perspective. And you have to remember, one of the huge differentiating factors that we have in our business model is our ability to serve our customers when and where they need to be served. And as you get more and more transactions, as you get more and more customers, you do have this step function increase. And so a lot of our operating expense growth has been done -- has been to the addition of people, which is not maybe a popular topic right now that people are talking about, but we're adding people. We're not subtracting people from our business. And we're adding people to make sure that we can continue the level of service that we had. And I don't mind doing that, especially in a growth environment, which is what we're expecting. Well, look, you're also seeing wage increase, and you have to pay more to keep your best talent. And so we will do that. That is [indiscernible] not to do that, and we will continue to do that. From a marketing perspective, I've been doing this for a number of years now. And one of the things that you hear us say is we have lots and lots of good investment opportunities. And to let those investment opportunities go by the Board because, we thought we might have spent $5 billion, but maybe it will be $5.2 billion, whatever, that's shortsighted because we're running the company for the longer-term. So I would say that the investments that we're making -- and additional investments in technology are truly all longer -- all thinking about the long-term here. As far as revenue goes for next year, look, we're building up momentum. But I think when we came out and said we were going to grow 18% to 20% this year, there was probably some scepticism. And now we're coming out and saying we're going to go 23% to 25%, which is going to put the level of revenue at the end of this year obviously higher than what we thought. We have a plan to get us to -- in 2024 at 10% plus revenue growth on a sustainable basis, which means in 2023, we'll certainly exceed 10%. What that number will actually be? I don't know sitting here right now. I don't know. But I can tell you it will be on our growth trajectory. And as long as we have good revenue opportunities and as long as we can continue to grow this business, I will continue to invest. And that's where we are. And as Jeff said, we've decided not to -- and I think it's really important. We've decided not to raise our earning -- our EPS guidance because of the uncertainty with CECL, which, quite honestly, we don't have a lot of control over. And so for us to sit here today and say, hey, look, let's just raise it to then come back in the third quarter or the fourth quarter and say, hey, we had to drop it, it's just -- it's fool hearted. But the revenue, it's what we see. And so when we're asked questions about, what do you think about the economy and you see a slowdown? If I was thinking there was a slowdown in the next couple of quarters, I wouldn't be sitting here raising revenue to 23% to 25%. So that's how I think about it.
Operator: The next question is coming from Sanjay Sakhrani of KBW.
Sanjay Sakhrani : T&E was a big driver of the upside. And I think, Jeff, you mentioned there's been further strength in July, which makes sense given we're moving into the heart of the summer months. Are you guys concerned this is sort of a pull forward, and you see a slowdown thereafter? And maybe that ties into what we saw in corporate T&E because that also moved up quite a bit. Where do you think the new normal shakes out?
Stephen Squeri : So if you look at where we are right now, and yes, we're at a 100 -- we're at 8% growth over 2019. And that's not really a big number when you think about it. When you think about 8% growth over 2019 from a T&E perspective and you think about sort of airline prices, you think about some of the inflation built in, I'd say there's more room to run on T&E. And when you disaggregate sort of T&E, and you look at it, and you see that the consumer is running sort of 38% above and you've got international consumer running only 8% above and you got SME running probably 8% above and corporate travel is only 60% of what it was in 2019, I wouldn't call out a pull forward. And when I look at my bookings, my future bookings in my consumer business, they're strong. And then when you get -- then you sort of disaggregate and you go below those numbers, and you look and you say, okay, what's really driving it? And you see a tremendous growth, right? We're seeing a tremendous growth, like 48% growth in restaurant. Lodging is huge. Airline is way up. But lodging and airlines are still below 2019 levels in aggregate. So -- and the airline industry is probably only about 85%, 90% of their capacity. And they have some staffing issues and what have you, and they're sort of canceling. So I don't think this is a pull-forward at all. I think there's a huge pent-up demand, obviously, to get out and travel and see the world or see anybody at this particular point in time. But no, I'm not really concerned about a pullback because I don't think we've gotten to a normal level yet. I really don't believe we've gotten to a normal level of T&E. So now we're going to see 90% year-over-year growth rates, no. But I look at absolute aggregate numbers, and I can't get too focused on just the growth rates. We're not at a normal level of T&E yet in our business.
Operator: The next question is coming from Betsy Graseck of Morgan Stanley.
Betsy Graseck : Yes. It's really great, great results here. I wanted to dig in a little bit on how you're thinking about the loan growth on the SME side. I know that's been accelerating here. Just give us a sense as to where pockets of opportunity are and how you would flex if there was a slowdown.
Stephen Squeri : Look, we're -- our stated goal for our SME business is be the working capital provider for small businesses. And so I think that what we're trying to do is to be able to provide liquidity to them using cards. We've got some short-term working capital loans. We've got some shorter-term term loans and they're taking advantage of it. But I'll send you back to the pandemic. I mean when you look at our small business base, I think everybody was really concerned about how stressed this was because -- or how stressed this could be because of what the perception is the makeup of small businesses. And I've said this over and over again. When people think about small businesses, they think about restaurants and they think about small retail on Main Street and it's much more than that. And so I think that -- and you saw how we performed. I mean our credit metrics performed brilliantly through the pandemic. And we've always grown in the last few years a little bit -- well, pre-pandemic, we've always grown faster than the market. We have a very low share of our small businesses lending volume relative to their spending volume. I mean we probably have over 40% of their spending volume, but 40% of the spending level, but we have less than maybe 20% of the land. So there is opportunity, and we will go after this opportunity the same way we go after everything else, in a very measured, analytical and risk-adjusted way. And so we're not trying to grow crazily. We are just providing our customers with what they need. Having said that, I think you've seen our ability to pivot, and if need be, we will pivot again. But what I do really love about our small business base, not only that it continues to grow, but it is so diverse across so many different types of industries, and that's really, really, really important.
Operator: Our next question is coming from Bob Napoli of William Blair.
Bob Napoli : Also congratulate you on a super strong numbers. Really great to see. I guess maybe a question on network coverage, one of your key areas of focus and incremental investment. And just maybe any update on how you're performing versus your plan on network expansion. Either kind of -- obviously, international seems like where you have the most opportunity from a network expansion. Any thoughts on or any metrics you can give on international and your thoughts on where your coverage should be internationally over the long term?
Stephen Squeri : Yes. Look, I mean, we -- from a U.S. perspective, we continue to remain in parity coverage, and as we -- virtual parity coverage. And as we said, it doesn't mean you're not going to run into somebody that doesn't accept the card now and again. But usually, it's -- when we do that, we're able to sign them up because it's sort of old news in terms of what the rates are and how we -- and so forth. So I'm not really can -- I should say, I'm not concerned about the U.S. But I like where we are in the U.S. and I like our approach to the U.S. From international, I think we've been really, really, really clear. We've been focusing on priority cities and continuing to drive those numbers higher, and those continue to do well. We've probably signed well over 3 million merchants this year, which is -- I think we're on pace to sign as many as we did last year from an international perspective. And we'll continue to provide information, not on a quarterly basis, but on an as-needed basis to show you that the progress that we're making. But we're really pleased with the progress that we're making in our priority cities. And that doesn't mean we're not focused on signing every merchant that doesn't accept the card. We do. But we think it's more important to sign those merchants where Card Members actually are. And that's why the priority cities and the priority countries are so important for us. And we feel really good about it. And you only have to look at the international spending to say, is it really working? And when you look at sort of our international spending this year, it's up higher than our consumer spending year-over-year for this quarter. So it's a big driver for growth for us.
Operator: The next question is coming from Mark DeVries of Barclays.
Mark DeVries : I had a question for Steve about the 48% growth in millennial and Gen Zs. I assume it's normal for the younger generations to have stronger growth, just as a combination of what I assume are kind of stronger new account acquisitions and also just the ramping of spend as they age and their incomes grow. Can you give us a sense of what the breakdown is in that 48% between new account acquisition and then actual organic spend on an individual account basis? I know you indicated that they are spending more than previous newcomers. But any sense of kind of dimensionalizing that, how that compares? And then just finally on comparing across the different cohorts, kind of how -- what your market share is for these newer cohorts compared to Gen X and boomers at points in their age?
Stephen Squeri : Yes. So we don't really get into all of that either in our release or talk about. But let me give you a couple of points. When we look at sort of how we're getting card member spending, we really look at share of wallet. Share of wallet is really important for us. And from millennials and Gen Zs, we're getting a higher share of their wallets off the bat. That's key. Because what happens is, with a lot of our boomers and so forth, and especially our boomers, they were used to an American Express that was accepted in a limited universe. Our Gen Z and our millennials are used to an American Express that's really accepted everywhere. And so we're able to penetrate their wallets more right out of the gate because, number one, they're more card savvy, and they tend to use no cash. And they're more value proposition savvy, and they tend to figure out how to utilize the card in the best way for them. And so we're getting a higher percentage of their wallet. As they grow, as their wallets grow, as they progress through life, our aim is to continue to keep that wallet share. And that's a big deal. Plus, as you acquire Gen Zs and millennials, they tend to have a longer runway for tenure with the card product. As far as the 48% growth and breaking it out sort of -- I mean, really what you're asking for is same-store sales versus new store sales. I don't really have that at the tip of my fingertips here.
Jeff Campbell : Yes. We don't disclose the exact numbers, Mark. But we do pull it apart, just like you described. And we certainly have made the point that a disproportionate share of our new account acquisitions are going to that millennial and Gen Z demographic. But then when you break out, just to Steve's raised the same-store sales, it is also the fastest-growing demographic on a same-store sales basis. So both contribute, both the same-store sales effect and the fact that they are disproportionate, and our new customers.
Operator: The next question is coming from Dominick Gabriele of Oppenheimer.
Dominick Gabriele : Great. Obviously, you're reporting incredibly strong recovery spending numbers. If you just think about the spending cycle and inflation boosting nominal PCE versus real PCE, how should we think about the effects on your high-end consumer base versus the average U.S. consumer in terms of their susceptibility to a spending slowdown? And perhaps, why could this customer base that you have act differently versus the average consumer in the next spending cycle? And I'm just talking about total spending, if you -- if that works.
Stephen Squeri : Well, I think the simple answer is they have more money. But when you look at sort of what's going on in the economy and the stock market going up and down, we we've never really been tied to that. I mean -- and I've been here for forever, right, 35 years or so. And I've never seen a correlation between that. What I have seen a correlation between is sort of unemployment and people losing their jobs and not being able to pay their bills. And so that's potentially an issue down the road. But we're in a very crazy sort of environment, and Jeff called this out in his own remarks. I mean, we've got high inflation and low unemployment. And it's actually hard to hire people right now. And so yes, you're seeing some layoffs and some companies talking about slowing down their hiring and things like that. But it's not broad based and it's not broad scale at this particular point in time. And so I think as far as I look at this -- the cohort that we have, which is a small segment, right, of the U.S. population, but a very powerful segment of the U.S. population, you would have to see a huge credit crunch driven by unemployment, I think, for this cohort to be hit. The other thing I would say is, when we pull apart our numbers, this spending is not inflation-driven. And that's not to say there's not inflation in these numbers. But you have to remember that coming out at the end of last year, when no one wanted to talk about it, we had inflation in those numbers last year. So whether you look at 8% or 9% sort of spending inflation out there in the environment, it's not an 8% -- 8% or 9% benefit to our business because you do have a grow over. But the most important thing for us is we're seeing an increase in transactions. And that's what's really driving our growth right now, is an increase in overall transactions in our business. And that's an important indicator for us. We look at not only transactions, but we look at transaction size. And then we look at that transaction size a little bit on a normalized basis as you take the effects of inflation out. And we've got real growth when you do that.
Jeff Campbell : Yes. The only thing I'd add is that we have said consistently, a modest level of inflation, and I'd still use the word modest for where we are, absent a spike in unemployment, like Steve said, is generally net a positive thing for our business. It helps revenues a little bit. It puts a little pressure on cost. But it nets to a positive. And as long as the labor market stays where it is, that's why we feel pretty good about the guidance we've given you for the rest of the year.
Operator: The next question is coming from Bill Carcache of Wolfe Research.
Bill Carcache : Could you speak to how much the competitive environment for high spending customers has intensified post pandemic, particularly as other issuers look to compete beyond cash rewards to provide their customers with greater experiential value by investing in things like airline lounges, travel portals and the like? And then I guess more specifically on -- if I may just squeeze in on the acceleration in spending among large global corporates. Could you discuss which products are enjoying the greatest uplift there?
Stephen Squeri : Yes. I mean, this environment has been a highly competitive environment since the financial crisis. And it hasn't really changed. Yes, I mean people invest in more things. I mean we've all raised the price of poker here a little bit. But we figure our competitors will continue to invest. We figure that our competitors will copy what we're doing. And that's why it's important for us to stay ahead. And so has it intensified? I mean we just work under the assumption. it's a highly competitive environment, and it will remain a highly competitive environment. And you're really talking about the U.S. consumer segment, but you've got high competition in small business. You've got high competition in various markets. You've got high competition in corporate card. But what we strive to do is put the best products and services out there. And that's worked out pretty well for us. And so it requires a little bit more investment. It requires investment across the board. But in the long run, I think you just have to look at the results. And right now, we're acquiring more cards than we've ever acquired. But we've said this before. What's really important for us is that we're looking to acquire revenues and we're looking to acquire billed business. We talk in terms of cards. But those cards are generating new billed business and generating revenue for us, obviously, because we're raising our revenue guidance. As far as corporate, I'm not sure I really understand the question all that much. But we only have a corporate card. So -- and yes, companies are spending. But we're only at 60 -- our T&E is only at 60%. And Jeff, where are we overall on corporate card spending? I don't know.
Jeff Campbell : It's a little higher because the travel never went down as much. So the overall number is at about closer to 80% pre-pandemic.
Stephen Squeri : So -- but we're not back yet. But you're seeing pockets of it and consultants are back out there on the road and bankers are back out there on the road. And I think people are having a lot more meetings. I know we had one in June, and it was hard to get conference room space for like 100 or 150 people. And even looking to book for next year for the same type of meeting, boy, people are out there booking 1 year, 1.5 years in advance. And I think that's good for the lodging business. It's good for the airline business. It's good for us. So that's kind of where it is.
Operator: The next question is coming from Lisa Ellis of MoffetNathanson.
Lisa Ellis : Steve and Jeff, you've commented earlier on some of the near-term investments that you're making given the strong growth in top line you're seeing in wages and marketing, et cetera. Can you also comment a bit perhaps on some of the longer-term investments that you're leaning in on, kind of taking advantage of the strong growth in the business to be able to lean in and position Amex even better for the next sort of 3 to 5 years?
Stephen Squeri : Yes. Well, I mean, we're always making -- there's always the balance between long-term investments and short-term investments. And we don't talk a lot about the long-term investments until they actually happen. But you have to invest in your technology, and we've done that. And I've talked about that before because we've been one of the only companies that have said, we're not taking step function changes in our technology investment because we've been investing in technology all along. We're constantly investing in value proposition. And when people look at that, and we sit here on the phone here and we talk about it, like, okay, so what are you going to do to the Platinum Card? Well, it's not the Platinum Card. It's the 29 proprietary countries that we operate in, the small business cards that we operate in those countries and the corporate cards we operate in those countries and the co-brand cards we operate in those countries and the personal cards, Green, Gold, Platinum and Centurion. So we're constantly investing, and I think we use the Platinum Card in the U.S. either business or personal as a proxy for our overall investment, and that's not it, because we're investing in all our card products across the globe on an ongoing basis. You can't have product refreshes by just snapping your fingers and saying, hey, we're going to have a product refresh. This is months and months and months in the making and negotiations and partnerships and so forth. But look, we continue to invest in our lounge program. We continue to look at those things that add more value. I mean you've seen the expansion of things that we've done, whether it's checking accounts and debit cards for our consumers and our small businesses. And what we're trying to do is to create more stickiness and more reason to interact with American Express on an ongoing basis. I mean just look at sort of how the services around our card products have evolved over the last few years, whether that be from a small business perspective where we can meet a wide variety of reworking capital needs, banking needs and so forth, and then look at it from a consumer perspective and look at what we've done with resi, with over 30 million registered users on resi, and we have cards on file, a huge acquisition. So we'll continue to make those longer-term investments, but you'll continue to hear about them as they happen.
Operator: The next question is coming from Moshe Orenbuch of Credit Suisse.
Moshe Orenbuch : Great. And Steve, certainly note your comments that you're not anticipating a recession in the next couple of quarters given what you're seeing in your customer base. But could you just talk conceptually about how you think about account acquisition in terms of kind of new accounts, a high level of new accounts? Obviously, industry as a whole is still doing that. But clearly, less seasoned accounts are the ones that always would carry somewhat more risk. And maybe talk about the things you do to kind of mitigate that or steps you would take if you saw that and the rates start to rise?
Jeff Campbell : Well, let me maybe start, Moshe, by just reminding everyone of the highly analytical process we have for determining who we bring into membership in the franchise. And it's based on searching for that premium customer, whether they are a consumer or a small business. It's based on the vast amounts of data and history we have. And it's based on having very high financial cutoffs for who we allow into the franchise or not. And when you look at the outcome of that process right now, we are on average bringing in new customers who have higher credit qualities than we saw pre-pandemic in 2019, who are showing much higher spending profiles and who are also carrying balances at a greater rate. So we feel really good about the people we're bringing into the franchise. And as you've heard Steve and I and Doug and others talk about, we also always when we bring people in, model their results assuming there will be a recession. I don't know when there will be a recession, but there will be. And so we build a through-the-cycle view of the economics right into our upfront calculation of whether we think it's a good idea or not to bring a given customer into the franchise at a given level of marketing spend.
Stephen Squeri : Yes. And the other thing I'd say is that changes -- that can change daily. That can change weekly. Those criteria could change monthly. It all depends on how we're looking at and what our models are showing and what we're feeling. The other reality is we could lower our thresholds, spend even a lot more money. But there's that balance that you have and that balance of making sure that we're growing the bottom line is -- in an appropriate fashion and also making sure that we have a higher quality consumer and small business as part of our franchise. But it is something that's been developed over many, many years. And it's not static. I mean I think that's the key point. This thing is not static. And we continue to adjust it and modify it.
Jeff Campbell : Steve, the other thing I would add, and I'm going to quote you, is we run the company for the long term. We make these decisions on a through-the-cycle basis. There will be a recession at some point. I don't know when. But the thing about recessions is, they're always followed by a recovery. And we're running the company to achieve the highest possible sustainable level of long-term growth. And we think that the process we have and the analytics we have for bringing people into the franchise are very consistent with that.
Operator: The next question is coming from Chris Donat of Piper Sandler.
Christopher Donat : I wanted to dig -- try to dig a little deeper on the travel and entertainment recovery and the Slide 23 you had and revisit the question of a possible pull forward. I heard the commentary around bookings, and so that seems good for visibility for airlines and lodging. What I'm wondering about is, should there be any reason to be concerned around restaurant spending, which has been really strong? And is restaurant spending highly correlated with lodging and airlines so maybe we don't need to worry about it? Or just if you're seeing anything that could be a cause for concern and maybe a future pullback in restaurants...?
Stephen Squeri : The only thing I would say is that if restaurant spending is really highly correlated with lodging and airlines, you're going to expect it to go up. But I think, look, I mean, anybody that's been to a restaurant, prices are a little bit higher because they're -- they got wages and they got fluid costs and so forth. But look, from my perspective, restaurants really -- sort of a lot of them change their business models during the pandemic because restaurants that weren't doing takeout do take out. And so people are eating out a lot more, and they're spending more time at restaurants and ordering for restaurants. So no, I really don't think it's highly correlated at all. And in fact, if you took restaurant out, and we just said travel, and travel being defined as car rental, lodging and air, we're not back yet, right? What's pulling T&E over the finish line here to go past that 2019 is truly restaurants. So if anything, as people travel more, you might see more restaurant spending. And the other side of that is, well, you won't see more restaurant spending because now lead to different locations. So I don't think it's -- I don't think a pullback here will really hurt restaurants all that much.
Operator: The next question is coming from Rick Shane of JPMorgan.
Rick Shane : When I think about the numbers, 2 things stand out. One is the loan growth and the other is obviously the strong penetration for millennial and Gen Z card growth. I am curious if -- as millennials and Gen Z customers are taking cards, if those are being delivered with additional features enabled on borrow? Or are there behavioral factors that are causing your younger demographic to borrow more?
Jeff Campbell : Well, maybe I'll start, Steve. So first, we have moved over the last couple of years, Rick, to add to the majority of our charge products a pay over time capability. For existing Card Members, that phases in in a variety of ways. For new Card Members, that capability is on as it is as they get the card. So I do think that has some impact on our results. There also is a demographic feature, as I talked about earlier. If you look at who we're bringing into the franchise now, and there is a skew towards the millennials and Gen Zs, they are higher spending, higher credit quality. And there is a propensity to carry balances that is a little higher than what we see in the older demographic.
Stephen Squeri : Yes. And they also tend to use our pay and plan it feature a little bit more, which is -- and I'll use these words, buy now, pay later, but on the back end as opposed to a point of sale. I mean, they can go on to their statement and decide, look, for this particular charge, I'm going to pay it in 6 installments, and I'm going to pay it at $100 a month. But I'm going to pay the rest of my balance in full. So I think that ability of looking at your statement, deciding which things you might want to pay in an installment, deciding which thing you might want to use Pay with Points to pay, deciding which thing you may want to revolve and then deciding which things you want to pay in full is a pretty good feature of the product. And so when you look at meeting somebody's entire payment needs, that kind of does it in one-stop shopping.
Operator: The next question is coming from Mihir Bhatia of Bank of America.
Mihir Bhatia : I wanted to ask a little bit about just longer term, right? I mean I appreciate your comments about making investments now while the opportunity is available. But I was wondering just longer term, for example, in 2023, you've guided to longer -- higher than longer-term revenue growth in 2023. So will that also translate in higher than long-term EPS growth or higher than long-term PPNR growth? Or is there just so much white space available for you, just the amount of growth opportunity that 2023 could also be another big investment year? Just trying to understand how you balance that all this revenue upside you see versus the investment opportunities available to you.
Jeff Campbell : Well, I can't resist my start by pointing out that, yes, Steve and I talked a lot about the heavy investments that we're making this year. We're also growing our pretax pre-provision profit by 27% this quarter, in line with the 31% revenue growth. Look, as Steve said earlier, we'll have to see. I think we feel really good about the revenue momentum we have. And so just mathematically, given our long-term sustainable goals and a steady-state environment for 2024 and beyond, I expect to be above that -- easily above the 10% level on revenue growth next year. How much? Don't know. We'll have to see. And that provides a pretty darn good platform for good earnings growth. All that said, it's only July 22. We haven't given you guide -- specific guidance for next year. And the wildcard from a GAAP EPS perspective in all this is the volatility that you've seen so much of in the last 10 quarters in the CECL credit reserves because we have good, I think, visibility and beliefs about the trajectory of our own business. But the consensus macroeconomic forecast and how it evolves is going to have a big influence on what we book for credit reserves.
Stephen Squeri : But just think of how those 2 numbers that Jeff threw out, 31% revenue growth and 27% PPNR growth. Would you have felt better if it was 32%, and we decided not to invest? I wouldn't. And I think what's really important, and I'll take you back to Investor Day. This is a flywheel. Scale is important. Scale begets more scale. And not crazy scale, but scale with premium Card Members from a small business perspective and a consumer perspective that merchants want to see and merchants want to provide value to, which continues that strength in the flywheel. And that's one thing. As you know, we talked about, do you see more competition? The one thing that is really, really hard to replicate, and we haven't used these words, but this enclosed cycle that we have, otherwise known as the famous closed loop, the ability to have those merchants and have those Card Members and to be able to feed off one another from a value perspective is really, really critical. And the value that we're able to provide merchants with high spending Card Members and the value that those merchants are able to provide to our Card Members is really, really important. And so as we sit here and look at our business and look at it long term, what's really important is that growth and that sustainable growth. And again, throw all the noise out around CECL and credit reserve releases and bills and so forth. And if you focus on that number, well, 31% and 27% is pretty good. And so we feel really good about the level of investment that we've made in the business. And quite honestly, don't necessarily focus on any of those individual line items, but focus on the aggregate in what it's driving and the value it's creating. And if you're just going to measure value through a quarterly EPS growth, you're missing the point. What you need to measure value is on how sustainable your business model is over the long term. And all we're doing is enhancing our business model over the long term with these investments.
Operator: Our final question will come from Don Fandetti of Wells Fargo.
Don Fandetti : Can you provide an update on B2B progress? Are you seeing small businesses accelerate their automation of accounts payable and also, large corporates on the supplier side, are they accepting more cards?
Stephen Squeri : The short answer is yes. We don't -- we're not sharing all the statistics, but small businesses continue. When you look at our small business base, probably over 80% of their spending is B2B spending versus T&E spending. And we continue to see acompay go up for us. Our partnerships continue to yield more value. We're seeing -- what Jeff talked about it, we're about 80% of where we were from a corporate card perspective, but yet only 60% from a travel perspective. So that's driven by more B2B. But it's not -- when you look at that automation of B2B, some of it is automation of existing business, especially in the small businesses. Some of it is growth. But it still continues to be a long-term play. But you're seeing more suppliers take it. And we'll continue to work towards getting more acceptance and leveraging our flexible model here to be able to work with suppliers and our small businesses and our corporations to drive more acceptance and to drive more spend.
Kerri Bernstein: Great. With that, we will bring the call to an end. Thank you again for joining today's call and for your continued interest in American Express. The IR team will be available for any follow-up questions. Operator, back to you.
Operator: Ladies and gentlemen, the webcast replay will be available on our Investor Relations website at ir.americanexpress.com shortly after the call. You can also access a digital replay of the call at 877-660-6853 or 201-612-7415, access code of 13729997 after 1:00 p.m. Eastern Time on July 22 through midnight, July 30. That will conclude our conference call for today. Thank you for your participation. You may now disconnect.